Operator: Good morning, ladies and gentlemen. Thank you so much for standing by, and welcome to the Mitcham Industries’ second quarter earnings conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator instructions) As a reminder, this conference is being recorded today, on Tuesday, the 9th of September, 2008. I’ll now turn the conference over to Mr. Jack Lascar of DRG&E. Please go ahead, sir.
Jack Lascar: Thank you, Michael. And good morning, and welcome to the Mitcham Industries’ fiscal 2009 second quarter conference call. We appreciate all of you joining us today. Your hosts are Bill Mitcham, President and Chief Executive Officer; and Rob Capps, Executive Vice President and Chief Financial Officer. Before I turn the call over to management, I have a few items to cover. If you would like to be added to the company's e-mail distribution list, please call DRG&E's office at 713-529-6600 and relay that information to us, or you can send me an e-mail with that information at jlascar@drg-e.com. If you would like to listen to a replay of today's call, it is available via webcast by going to the Investor Relations section of the company's Web site at www.mitchamindustries.com or via a recorded instant replay until September 17. Information on how to access the replay was provided in yesterday's earnings release. Information reported on this call speaks only as of today, Tuesday, September 9th, 2008, and therefore you are advised that time sensitive information may no longer be accurate as of the time of any replay. Before we begin, let me remind you that certain statements made by management during this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management’s current expectations and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control that may cause the company's actual future results or performance to materially differ from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from time to time in its filings with the SEC including in its annual report on Form 10-K for the year ended January 31, 2008. Furthermore, as we start this call, please also refer to the statement regarding forward-looking statements incorporated in our press release issued yesterday, and please note that the contents of our conference call this morning are covered by those statements. I would like to turn the call over now to Mitcham's President and CEO, Bill Mitcham.
Bill Mitcham: Thanks, Jack, and good morning, everyone. And thank you for joining us today. I’ll discuss our fiscal 2009 second quarter results. We have a solid second quarter driven by ongoing strength in our core leasing business. I’ll mention some of the highlights of the quarter, and turn the call over to Rob, and then – to discuss the financials. Then I’ll get back for some closing comments. Our seismic equipment leasing segment turned in another solid performance, with revenues increasing 20% over last year’s second quarter. We continue to add new seismic equipment to our lease pool due to strong customer demand. In the first six months of this fiscal year of 2009, lease equipment additions totaled approximately $20 million, with $13 million added late in the second quarter, and not contributing materially to leasing revenues during the second quarter. During all of fiscal 2008, we added $26 million in new lease pool equipment. Second quarter EBITDA was strong, increasing 19% from the second quarter a year ago. As expected, revenues in our Seamap segment declined from the second quarter a year ago. The sell of Seamap products was generally – about generally not impacted by seasonal factors, and can vary significantly from quarter to quarter due to customer delivery requirements. And as we’ve stated several times in the past, we expect Seamap revenues to be stronger in the second half of this year than the first. More importantly, as on the first quarter, we saw year-over-year improvement in gross profit margin in our Seamap segment. Our Australian subsidiary, Seismic Asia Pacific, or SAP as we call them, received their first major contract to provide equipment to the Royal Australian Navy. And finally, approximately 78% of our total revenues in the quarter were generated from international customers as we continue to extend our geographic diversification. We firmly believe we’re very well positioned to benefit from this period of strong and sustained growth in the worldwide seismic market. Now, I’ll turn the call over to Rob, our Chief Financial Officer, who’ll give you a detailed review of our financial results.
Rob Capps: Okay. Thanks, Bill. Good morning, everyone. I’ll review the second quarter operative results in greater detail. And then make a few comments about our financial position. Total revenues for the second quarter were $17.5 million. That compares with $15.4 million a year ago, and that’s a 14% increase. But due to customers permitting issues, which continue to impact the seismic industry, some leasing jobs were delayed in the second quarter. Now this, of course, has a negative impact on the raise in the revenues in the quarter. As Bill mentioned, revenues of our Seamap segment declined from the second quarter a year ago due to an unexpected lull in deliveries to customers. And most of you know that we look at the company in two segments, equipment leasing and Seamap. Equipment leasing segment includes not only our core leasing business, but also some equipment sales. Therefore, included within this segment are occasional sales of lease pool equipment; sales of new seismic equipment manufactured by others; and, sales by SAP, our Australian subsidiary, of hydrographic and oceanographic equipment. The second segment is our Seamap business, the designs, manufacturing, and sales of various products of the marine seismic industry. Our core revenues from equipment leasing, which exclude any equipment sales, increased 20% in the second quarter to approximately $7.5 million, from $6.2 million a year ago despite the impact of the permitting issues I just mentioned. The increase in lease revenues was driven by continued rise in demand for seismic equipment, expansion into new geographic markets, expansion of our lease pool. Our sales of lease pool equipment were $1.8 million, compared to $775,000 on last year’s second quarter. As we previously said, the sales of equipment from our lease pool is based on specific customer demands and opportunities. Sales in new seismic equipment and sales of hydrographic and oceanographic equipment in the quarter totaled $4.9 million, compared to $2.8 million a year ago. As Bill mentioned, during the second quarter, we were extremely pleased to be awarded a $4.5 million contract to provide equipment to the Royal Australian Navy. Now, this contract did not generate any revenues in the second quarter. But we’re expected to do so over the next several months. As Bill also mentioned, our Seamap equipment sales declined to $3.3 million this quarter, from $5.6 million a year ago due to expected lulls in shipments this quarter. The demand for Seamap’s marine equipment remain strong, and the outlook for our GunLink and BuoyLink products is promising. As stated before, we expect revenues to be stronger in the second half of this year than the first half. Importantly, at our Seamap segment, we continue to see year-over-year improvement and gross profit margin due to improvements in manufacturing efficiencies and the cost structure for many of our Seamap products. Gross profit at Seamap during the second quarter was $1.3 million, or 40% of Seamap sales. This compares to gross profit of $1.9 million, or 33% of Seamap sales in the second quarter a year ago. Gross profit in our equipment leasing segment grows 22% to $5.7 million, a 40% gross profit margin, from $4.7 million a year ago, which is a 48% gross profit margin. The lower gross profit margin in our equipment leasing segment in this year’s second quarter is largely due to a 50% increase in depreciation charges resulting from the additions we made to the lease pool in fiscal 2008 and early in 2009. Our overall gross profit for the second quarter increased 8% at $7.1 million or 41% of revenues, compared to $6.6 million or 43% of revenues in the second quarter of last year. General administrative costs in the second quarter increased to $4.4 million or 25% of revenues, from $3.6 million or 24% of revenues in the same period last year. This result primarily – resulted primarily from generally higher personnel cost and higher stock based compensation expense. Our second quarter EBITDA was $6.4 million or 36% of revenues. That compares to $5.4 million or 35% of revenues in the same period last year. Our adjusted EBITDA, which excludes the stock based compensation expense was $6.9 million or 40% of revenues, compared to $5.8 million or 38% of revenues in the same period last year. Now, please keep in mind that EBITDA and adjusted EBITDA are not GAAP measures, and they are reconciled to the reported net income in – for the financial tables to our earnings release yesterday. Our effective income tax rate year-to-date for fiscal 2009 is just under 35%, which is pretty much in line with our expectations. I’ll only mention just a couple of other things and I’ll turn it back over to Bill. As of July of 31st, 2008, Mitcham’s expansion (inaudible) remains very strong. As of that date, we had working capital of $12 million in cash, and cash equivalences of about $6 million. And finally, as Bill mentioned, during the first half of fiscal 2009, we added about $20 million of new lease pool equipment. This brings our total lease pool at the original acquisition cost and more than $130 million. That concludes my comments. I’ll turn it back over to Bill.
Bill Mitcham: Thanks, Rob. Overall, our first half performance continues to reflect ongoing strength we see in the seismic market. We’re still seeing strong demand for seismic equipment worldwide as record commodity prices survived the recent decline, and continue to drive oil and gas exploration. As we’ve said in previous quarters, oil and gas companies search for hydrocarbons has become more and more challenging. And the need for enhanced sub (inaudible) resolution has never been brighter. As a result, our customers must employ larger quantities of seismic equipment, especially channels to both seek out new reserves as well as reduce the in-use or expanding and development costs. We believe we are very well positioned to benefit from this long term trend due to the broad and increasing range of the equipment on our lease pool, our geographic diversity, and our focus on customer service. We continue to respond to the increasing for our products and services by adding new equipment to our lease pool. The year-to-date $20 million investment in new lease pool equipment follows approximately $52 million of new equipment added over the past two fiscal years. As market conditions dictate, we’ll continue to add equipment to better serve our customers. We currently have approximately 85,000 land channels on our lease pool as well as more than 24 kilometers of marine streamers and other peripheral equipment. We continue to invest in new types of equipment that can be used for other seismic applications. We added a second VSP or vertical seismic profiling systems to our lease pool during the quarter. During the first quarter, we purchased a 50-level VSP system, and the second one is a 100-level system. Our objective is to leverage our latest state of the art Sercel DSU3 digital fuller wave equipment with new technology that can be introduced in a producing well bore. We also added another product line of equipment to our lease pool during the second quarter, a Sercel 408 ultra light submersible or ULS system. This system’s purpose is to design for transition zones seismic operations and rated to 50-meter water depths. And have been in benefit from the same central electronic Sercel 408 land system. In fact, the submersible system can be directly connected to the 408 land recording channels reach of operation. We continue to explore other possibilities offered by these new products, and are discussing further opportunities with our suppliers and potential customers. Regarding our fiscal 2009 outlook, given the strength of our core leasing business, our expected continued profit improvement in Seamap, and growing international prospects, we reiterate our prior guidance and continue to anticipate revenues to be in the range of $78 million to $82 million, operating income in the range of $18 million to $22 million, and earnings per share to be in the range of $1.35 to $1.40 per diluted share. Jack, that concludes my formal remarks. We’ll take some questions.
Jack Lascar: Michael, we’re ready for you.
Operator: (Operator instructions) Our first question is from the line of Terese Fabian with Sidoti & Company. Please go ahead.
Terese Fabian – Sidoti & Company: Good morning. I have a question on the mix of equipment in your capital spending in the last two quarters. Can you address that?
Bill Mitcham: Terese, it’s a mix of things. Obviously, we talked about the last system and the VSP system we added. We also added some lane channels. We’ve added marine equipment from compressors, guns, air guns, for (inaudible) things and the marine side. So it’s really truly a mix of things.
Terese Fabian – Sidoti & Company: Okay. If you break it down in terms of proportions, does anything stand out?
Bill Mitcham: Well VULS was a significant acquisition. The VULS is probably the single piece of it without getting into any specifics. And then follows behind by the marine equipment, and then lane channels.
Terese Fabian – Sidoti & Company: Okay. Thank you.
Operator: All right. Thank you. Our next question is from the line of Pierre Conner with Capital One Southcoast. Please go ahead.
Pierre Conner – Capital One Southcoast: Good morning, gentlemen. I apologize if you didn’t – if you already gave the number. Can you quantify for us the amount of the leasing deferrals with the impact of the permitting complications?
Bill Mitcham: Without getting into exact specifics, I can just give you – I can give you an idea here. Okay. We (inaudible) jobs that slid, they didn’t go away. In fact, when I’m – well actually, both of them we’re on right now. The problem is, is when you look at our quarter in – when we talk about the impact of one job sliding out, I mean one job in particular was about $1 million a month. And that was 45 days that slid from the middle of June out into the first week of August. So when you look at $1.5 million over 45 days. I mean, that’s $1 million to the bottom line, roughly $0.10. But I mean, the good news for us, obviously, is that it didn’t go away. It just slid out. So you slide out – you slide one big job, it affected little jobs. And there’s not a lot we can do about it. When we deliver equipment, we deliver to the customer when they want and where they want. And if they’re not ready, if there’s – the drills aren’t far enough ahead, if all the permitting issues aren’t resolved, then we can’t ship it.
Pierre Conner – Capital One Southcoast: Yes. Okay. No, that’s helpful. I appreciate it, Bill. My second question is related to the VSP. You have the second one and this 100-level tool. And there’s sort of a two-part follow-up, which is, is the leasing potential on that 100-level tool – I mean is the bottom line impact on that thing twice as much as the 50-level tool or you price it that way? And then, do you have plans – how many more VSP tools can you add, sort of what rates could you see them being added?
Bill Mitcham: Excuse me. As you know, we bought the first 50-level VSP. And we had that on a six-month contract. The 100-level, we actually put out on a month-by-month, which is a little – certainly a higher rate than the six-month. But now we’ve combined. Well actually, we’ve changed the 100 to a 12-month contract. And the 50-level is going back on a month-by-month. So did it just double? It was –
Rob Capps: Pierre, by order, magnitude is roughly, but not exact. That means, theoretically, I mean, you’re twice the measuring equipment, so you’re charging twice. As I said, that’s from the order and magnitude, that’s correct. Although, there are some new options and how you price it based on the (inaudible) and things like that.
Pierre Conner – Capital One Southcoast: Yes. Got it, got it. And then what’s your forward purchasing plan on additional VSPs?
Bill Mitcham: Well, as you know, we buy equipment on demand, right? I mean we have – there’s certainly a lot of interest to – in other VSP tools. The first two, the 50-level and the 100-level both tools, we certainly have a lot of interest in the SlimWave and the MaxiWave Sercel. We are trends – we’ve got some Redaluch [ph] commitments. We are trying to term those into some firm commitments. But I could see adding another two to three tools this year.
Pierre Conner – Capital One Southcoast: Okay. Great. Thanks, gentlemen.
Operator: All right. Thank you. Our next question’s from the line of Luisa Hermann with Dahlman Rose. Please go ahead with your question.
Luisa Hermann – Dahlman Rose: Hi, good morning.
Bill Mitcham: Good morning.
Luisa Hermann – Dahlman Rose: With respect to depreciation, now, do you expect to continue at current levels? And then, secondly, do you see an immediate need to add additional channels on the leasing side?
Bill Mitcham: Actually, we will see depreciation pick up over the next – a little bit over the next few months because we added about $13 million right in the quarter, which really didn’t have much depreciation effect. So you’ve got two things that work. Obviously, you have depreciation on math. We’ll have some older equipment start to fall off depreciation, so. But we will see it trend up a bit. And I’m sorry. What was the second part of your question? I just went brain dead.
Rob Capps: Adding more channels.
Luisa Hermann – Dahlman Rose: Correct.
Bill Mitcham: I think that’s something we look at all the time. And we may add more channels this year. It just depends on what we see specific demand wise. We’re kind of in the middle of that right now trying to finalize deployment for the winter time. So I can see it possible to add more channels, but not necessarily.
Luisa Hermann – Dahlman Rose: Okay. Great. Thank you very much.
Operator: Okay. And our next question is from the line of Tyson Bauer with Wealth Monitors Incorporated. Please go ahead.
Tyson Bauer – Wealth Monitors Incorporated: Good morning, gentlemen, a couple of quick questions. Obviously, you’re very confident regarding the last part of this fiscal year. Longer term, I guess, the way your stock price is acting and the movement in the oil and gas markets, what environment would have to exist where you would see decreased demand? Because it doesn’t seem like, at least intuitively, people are going to be looking for oil and gas for a long time as much as they can get, yet your share price seems to exhibit a situation that you maybe hitting peak earnings either this year or next year. And that you don’t have that sustainability and growth. How would you address that concern?
Rob Capps: Well I guess we’d disagree with that.
Bill Mitcham: Well, I think just – when you look at what we’ve added over the last two years. We’ve added this year, and then as Rob said, we’re certainly – some other things for the rest of this year. But we’re adding equipment again because of the demand. We don’t see the demand going away. I think that it’s incumbent upon us as a society here that the geophysical industry and the explorations is that we have to continue to look for oil and gas. And you can only find it where it is. And certainly, when you look at – if you agree that most of the easy oil has been found, then we certainly have to look in places that we’ve looked before. We have to look deeper. We have to look – and higher place. And it’s all about seismic.
Tyson Bauer – Wealth Monitors Incorporated: I’m guessing that the 85,000 channels that you currently in hand in doing the time of the year that you are pretty well set as far as deployment or utilizing those channels. How would you characterize that as a 95% place, 90% in those kind of terms? And then secondly, what kind of geographic split are you looking at. Obviously, you said almost 80% of your business is international. Get a little more specific on geographic regions that you’re isolated.
Rob Capps: Well, as far as geographic areas, it of course varies on somewhat based on the time of the year. As we get into the winter season, obviously, we’re deploying in Canada and Russia primarily. And Alaska’s into cold winter – cold weather areas. And you’re right, we are finalizing plans now for that deployment as to exactly what’s going to be needed where. Beyond that, I think we continue to see demands in lots of places, South America, in Asia, Australia, the Pacific brim area, Indonesia. So I think we continue to see as well South America for that matter. So I think we, Tyson, we continue to see broad – a broad range of geographic demand. I don’t think we’ve seen any fundamental shift in that at all. It just has continued as it has been for the last several months. As far as specific utilization, I think we don’t want to get into specifics on that. But it is (inaudible) to say as we get into the winter, we look to a much forward utilization, especially on certain seismic equipment. I mean trying to apply an overall percentage, I think, that that’s dangerous. But probably as we get into this period of time, we are seeing much utilization. And it’s pretty clear the visibility as to what we’ll see coming into the winter time.
Tyson Bauer – Wealth Monitors Incorporated: All right. Thanks a lot, gentlemen.
Operator: All right. Thank you. Our next question is from the line of Tamara Manoukian with Greenwood Investments. Please go ahead with your question.
Tamara Manoukian – Greenwood Investments: Hi, Billy, Rob.
Bill Mitcham: Hi, Tamara.
Tamara Manoukian – Greenwood Investments: I have a few questions. One is a follow-up. In terms of your capital expenditures and given your stock price today of $12, do you evaluate share buyback as an alternative or at what point would you consider that as an option for the capital allocation?
Bill Mitcham: Well I think we always talk about that and consider it, depending again what the stock price. But we think that probably where we are today that our CapEx expenditures are better used to grow the company in terms of additional CapEx. I think we get a lot better return off of our equipment than we do off of buying back shares. Now, that’s not to say that we wouldn’t buyback shares at some point. Certainly, we’d look at it. We’ve bought back shares before. We’re not opposed to doing it.
Tamara Manoukian – Greenwood Investments: Okay. Very good. And in terms your business in Russia, I was wondering how is it doing right now? And whether it’s getting affected at all in terms of Russian relations – I mean US relationship with Russia is not so good right now. And whether you foresee any sanctions and how would that affect you? Is there any talk about that at all?
Bill Mitcham: We’ve certainly not seen any effect on that. I mean, as you know, we’re in Ufa, Bashkortostan, Russia, and Bashkortostan is a – it’s some country. We have our Russian company there, and they’re taking care of their business. We’re very pleased with the growth that we’ve had there. I mean when we first went to Russia, we had about 10,000 channels. This last winter we had over 19,000 channels utilized. And we expect to have another good winter there this year.
Tamara Manoukian – Greenwood Investments: Okay. Very good. Thank you.
Bill Mitcham: Thank you.
Operator: All right. Thank you. Our next question is from the line of Greg Hillman with First Wilshire Securities Management. Please go ahead. Mr. Hilman, are you with us? I’m not getting any response.
Greg Hillman – First Wilshire Securities Management: Yes. Sorry about that. I have a question about the useful life of your equipment versus the depreciation, being used. Could you talk about that a little bit? And could you just talk about over the last 12 months, the amount of equipment you’ve had to retire due to the fact that it’s just too old or it doesn’t work anymore? And also whether you foresee any obsolescence due to the fact that it’s just technologically obsolescence, can you talk about some of those issues please?
Rob Capps: Let me start, then Bill just in a second. As far as the principal lives, I mean we average about five years. It goes anywhere from three to seven years with the type of equipment. Useful life is much longer than that, typically. We have equipment that’s 10 or 11 years old that we still lease today. I would say that we have not retired any equipment in the last year that I can think of just because it’s old and worn out. Remember, our equipment is repaired after every job, and the customer is responsible for doing that. So it’s kind of kept in good working order. As far as technical obsolescence, really, we don’t see that as much of an issue either. While there certainly are some older technologies that’s part of – it’s not as advanced today as it might have been a few years ago, they’re still utilized a great deal. We don’t have much of that as we used to. We see this industry as being one that’s very slow to move to new technology because of the capital business they have. So we just don’t see that as much of an issue frankly.
Greg Hillman – First Wilshire Securities Management: So am I correct in assuming that you said that useful life of your equipment is 10-12 years? Did you say that? Is that correct or is it longer than that?
Rob Capps: Well, all I can say is we do have equipment today that it’s that old, but we continue to lease and produce revenue with.
Greg Hillman – First Wilshire Securities Management: So actually, the life is like 15 to 20 years?
Rob Capps: That’s probably pushing it a bit, but –
Greg Hillman – First Wilshire Securities Management: Okay. Thanks very much.
Operator: All right. Thank you. Terese Fabian, please go ahead with your follow-up question.
Terese Fabian – Sidoti & Company: Yes. I have a question. What are you seeing in terms of channel density and surveying. I saw CGV reported a pretty huge number of 40,000 channel town surveys for Qatar. Is this common or what are the average range of numbers?
Bill Mitcham: Wow! Some of them are really in the big numbers, Terese, especially with some of these DSU3 type situations where we participated in jobs as big as 42,000 to 45,000 channels. When you look at it – at some of the jobs that we supply equipment on, as much as 10,000 to 12,000 channels at a time, and that’s additional capacity added to the – to our customers’ current supply, for a lack of a better word. So I think what we’re – a lot of what we’re looking at is that we’re used to – a lot of things used to be 2,000, 3,000, 4,000 channels at a time, starting to grow to 5,000, 6,000, 8,000 channels. So we continue to see additional equipment needed, more equipment on the job on our customers for that additional equipment.
Terese Fabian – Sidoti & Company: And in terms of the Russian market, are you seeing the same increased channels out there?
Bill Mitcham: Not quite as big there, but then they’ve – they didn’t quite have the head start that everybody else did. I think that part of the problem was revenue – I mean, was CapEx restrictions. But we are seeing some bigger channel count for – originally, when we went in, most of the surveys were in the 2,500, 3,000, 4,000, and we are starting to see some bigger, 5,000, 6,000, 7,000, channel surveys.
Terese Fabian – Sidoti & Company: Okay. And if I can just ask, on the Royal Australian Navy contract, is that something that comes up? Is it a repeatable contract bid? And what is the timing on that in terms of revenue and margins?
Rob Capps: We’ll perform our contract over the next 9 to 12 months, roughly. I think from origin standpoint, it’s going to be roughly similar to SAP’s other business, which is – come the 20 percentage gross profit margin, maybe that does the math. I think that contract itself is not a repeatable contract. I mean it’s a discrete contract. But having said that, we think there are other opportunities for similar types of business throughout the Pacific brim.
Terese Fabian – Sidoti & Company: Okay. Thank you.
Operator: All right. Thank you. (Operator instructions) Pierre Conner, please go ahead with your follow-up question.
Pierre Conner – Capital One Southcoast: Thank you. You did address it all, (inaudible) maybe question for me. But the other one I had was a follow-up on the geographic issue is can you give us a bracket on your North America or maybe just US onshore exposure? What is your exposure to net gas on – and it would probably only be on the equipment leasing side, assuming that equipment is also very tangible, but at the moment, what would be a bracket on that?
Bill Mitcham: Well Pierre, for the first six months of this year. I think that 80% of our business was non-US, so 20% is US-based.
Pierre Conner – Capital One Southcoast: Roughly, of that 20% US-based, would you say that’s all onshore?
Bill Mitcham: Yes, yes. Yes, it would be. Yes.
Pierre Conner – Capital One Southcoast: The streamers are international right now.
Bill Mitcham: That’s correct.
Pierre Conner – Capital One Southcoast: Okay. That’s all. Thanks, gentlemen.
Operator: All right. Thank you. We also have a follow-up from Tamara Manoukian. Please go ahead.
Tamara Manoukian – Greenwood Investments: I might have missed this. What was the gross margin on other equipment sales and lease pool equipment sales?
Bill Mitcham: I don’t think we’ve got that. It’s just really – so I’m just looking at my cheat sheets for a second.
Tamara Manoukian – Greenwood Investments: Sure. No problem.
Bill Mitcham: Our other equipment sales is going to be roughly 20%-ish in that ballpark. And lease pool equipment sales was better than that. Again, I’m looking at my cheat sheets for a second. It’s around the 35% range, I believe, as I recall.
Tamara Manoukian – Greenwood Investments: 35%. And my other question is about gross rate in equipment leasing, other line of business. It seems like based on the first half of this year versus first half of last year, it’s decelerating. Is there anything that suggests that second half of the year growth rate would accelerate?
Bill Mitcham: Well, part of what we talked about as new, we bought a new VSP system, a 100-level. For our leasing, direct leasing opportunity, we’ve also purchased a new Sercel 408 ULS system, which was – is new to our lease pool. We won’t necessarily be buying another ULS, but we maybe adding additional channels to that. In terms of accelerating through the year, I mean, we’ve certainly added a lot of equipment this year. But we still see a lot of opportunity. And I think you’ll see we’ll certainly have some CapEx towards the end of the year.
Tamara Manoukian – Greenwood Investments: And in terms of the CapEx in the first half of the year, when is this equipment going to be deployed? Is it the second half, or towards the end of the year, or beginning of the next year?
Bill Mitcham: The 100-level VSP is just as out on the job as mobilized onto the job. And just in the middle of August, I think. Is that right? It’s right around the middle of August. The ULS is shipped now, in the process is being shipped. So that will be towards the middle end of September.
Tamara Manoukian – Greenwood Investments: Okay. Very good. Thank you very much.
Bill Mitcham: Thank you.
Operator: All right. Thank you. Once again, we have a follow-up from Terese Fabian. Please go ahead.
Terese Fabian – Sidoti & Company: Hi, I do have a follow-up on the VSP system. Can you talk a little bit about how that is used in the production phase?
Bill Mitcham: Well, Terese, as you know, there’s a number of uses for VSP, our vertical seismic profiling. And then a – there’s a number of buzz words that they talk about, walk away VSP is where they take the source and put it in the hole, I mean, where they put the tools, the levels in the hole. And they take the source and move it progressively further out on the offset. And then there’s fault proximity VSPs to be able to look at places we’ve never looked at before or been able to see. VSP is basically a high resolution seismic of the immediate vicinity of the burrow hole. And with the tool in the hole and the energy source in the surface, we’re able to – we or they are able to measure not only the upcoming waves, but the down going and the upcoming waves. We’d certainly get some – an advantage over conditional – traditional surface seismic. It’s a very critical method that they used to correlate between the old – say, not the old, but the traditional synthetic seismograms. And because often they’re not – they don’t match. So I mean, if you see or if you see – they’ve been and you know where you are, but it certainly gives us a much better – gives them a much better picture of the underground.
Terese Fabian – Sidoti & Company: And how would you evaluate the size of the market for this tool? Do you know what percentage of companies, ENT companies are using it now or anything approximate?
Bill Mitcham: Well I mean, you’re looking at in terms of ENT companies, but I mean you’re looking at a crossroads, the Russian. You’re looking at Bakers, and Wexford, Haliburton, Schlumberger. I mean that’s what they all – they’re all well-service companies. So they all have some form of tools. As we found over the past few months, they don’t – don’t any of them have enough tools in the right places. And those are some of the things that we’re evaluating with them. And looking at places that we might be able to put some VSP lease pools to take advantage of their shortages.
Terese Fabian – Sidoti & Company: Okay. Thank you.
Operator: All right. Thank you. And I am not registering any further questions at this time. Management, please continue with any closing comments.
Bill Mitcham: Well, we certainly appreciate you all joining us today and the right questions. Certainly, if you have other questions, you’re more than welcome to give Rob and I a call here or talk to Jack at DRG&E. We look forward to talking to you next quarter.
Operator: All right. Thank you. Ladies and gentlemen, this does conclude the Mitcham Industries second quarter earnings conference call. At this time, you may disconnect. Thank you very much for using HG conferencing. Have a very pleasant rest of your day.